Operator: Good afternoon, ladies and gentlemen. Welcome to WSP’s First Quarter of 2017 Results Conference Call. I would now like to turn the meeting over to Isabelle Adjahi, Vice President, Investor Relations and Corporate Communications. Please go ahead, Ms. Adjahi.
Isabelle Adjahi: Thank you and good afternoon, everyone. First I want to thank you for taking the time to join this call to discuss our Q1 performance. And we would be available to answer any question you may ask. Today with me are Alexandre L’Heureux, WSP’s President and CEO; and Bruno Roy, our CFO. And please note that we will be recording the call and will be posted tomorrow on our website. Before I turn the things over to Alexandre, I just wanted to mention that we may be making some forward-looking statements and the material fact or assumption used to develop this forward-looking statements are set forth in our Q1 MD&A which is dated May 9, 2017 and was posted today on SEDAR. We do not undertake any obligation to update or revise any of these forward-looking statements. Alexandre?
Alexandre L’Heureux: Thank you, Isabelle, and good afternoon, everyone. I am very pleased with our Q1 performance, which we will be discussing in detail in a few moments. There are three elements I would particularly like to highlight today. First, we started 2017 on a solid note slightly ahead of our expectation. Second, we were awarded a number of key contracts during the quarter which translated into healthy increase in our backlog and speak to the depth and breadth of our collaborative approach and the successful implementation of our revenue synergies strategy. Finally, I am pleased to introduce our new brand which was launched today across the globe and which can now be viewed on our new website. Let me start with a few comments on our first quarter financial performance on which Bruno will further elaborate later in the call. For the first quarter net revenue were $1.3 billion up 9.8% year-over-year. On a constant currency basis organic growth and net revenues were strong at 10.1%. However, taking into consideration the difference and billable days between Q1 of this year and Q1 of last year that we had previously disclosed in our 2017 outlook at the beginning of March, adjusted organic growth would have been at approximately 4% still above expectations. Adjusted EBITDA was $114.5 million with adjusted EBITDA margin reaching 9% up from 7.9% last year. This margin improvement was driven by higher utilization rates in certain regions and cost containment efforts. Our backlog stood at just under $6 billion representing approximately 10.6 months of revenues. Let me now move to our regional operational performance. Organic growth and net revenue for our Canadian operation was positive for the quarter. Adjusted EBITDA margin before global corporate costs was 9.4% a slight improvement compared to the same period in 2016 and in line with our expectations. During the quarter, our Canadian operations were awarded as part of our partnership a preliminary design mandate for the Metro Line Extension in Edmonton. We considered this an important milestone win as it is the first of our infrastructure project linked to the federal liberal governments 2016 infrastructure funding plan. While we believe most of the large infrastructure projects being RFP right now will likely only have a significant P&L impact and years to come. We are encouraged by this first win. A more immediate impact will be at the recent win of the Highway 427 extension P3 project in Toronto. This project which has a capital cost of $363 million is the fourth major highway project delivered by infrastructure Ontario and the Ministry of Transportation through this model. Our America's operating segment posted robust organic growth in net revenues of 12.8% and adjusted EBITDA margin before global corporate costs which stood at 11.1% of net revenues the highest amongst our reportable operating segments. Our U.S. operation on a standalone basis delivered 13.5% organic growth in net revenue. Backlog remained solid particularly in the transportation and infrastructure sector. Our EMEA operating segment delivered organic growth in net revenue of 9.1% in line with our expectations. Furthermore, our Nordics operation posted a very strong quarter delivering organic growth in net revenues of approximately 20%. Our Swedish operation led the way for the region gaining market share across most market segments. Our UK operation posted solid organic growth in net revenues of 11.2% and adjusted EBITDA margin was in the low double-digit range. In addition, the integration of Mouchel proceeding as planned and we are pleased with this acquisition thus far. Our APAC operating segment posted very strong organic growth in net revenues 21.5% mainly driven by Australian operation. The Australian transportation and infrastructure market segment continue to pave the way delivering over half of the regions net revenue and posting a solid adjusted EBITDA margin. Finally, our Asian operation delivered a strong quarter posting organic growth in net revenues of approximately 7%. Growth was mainly driven by strong performance in the transportation and infrastructure market segment. The second element I wanted to highlight is how the depth and breadth of our expertise combined with our collaborative approach in translating into major project wins. I mustn't ask whether the thesis of our locally dedicated model with global reach is actually sound and is working. I am convinced that having the ability to tap into the knowledge and resources of our various centers of excellence is a key component of our business success. As an example, our UK team was awarded a number of key contracts related to High-Speed Rail line linking London, Birmingham, Leeds and Manchester. This award which management currently anticipate could generate approximately $185 million and fee over the next five years resulted from the combination of Mouchel capabilities and public transportation, infrastructure and land referencing with our legacy expertise and buildings, rail system and environment. In parallel, our Asian team was appointed joint development partner on Phase 1 of the Kuala Lumpur, Singapore High-Speed Railway project, a High-Speed Rail link between the two cities. We will provide management support and technical advice on system and operation as well as developing the technical and safety standards to be adopted for the project. Management currently anticipates the initial package could generate fees of approximately $37 million over the next two years. This project was won in large part as a result of the collaboration between our U.S. California High-Speed Rail and the Middle East rail teams supported by our strong local presence in Singapore and Malaysia. All these projects as well as others currently in the pipeline are concrete examples demonstrating that our collaborative model is working. The third matter I wanted to discuss was obviously our new brand. A strong unified brand will enable us to increase opportunities for professionals and our clients. It will position us not only as one of the best engineering consulting firms in the world, but also as partners to our clients. Lastly, it will cement our revenue synergies strategy. That is why today we are pleased to launch our new logo and visual identity which took place during the AGM earlier this morning. Given our core markets and geographical footprint, WSP is uniquely positioned to play a leading role in shaping the world of the future and designing the cities of tomorrow. Our work will impact our cities and our communities for generations to come. We will help our clients design lasting solution for the development of better communities hence building sustainable work and home life environments for the generations to come. That's what our new WSP brand is all about. You will hear more about this in the future as we strongly believe that the power of being one unified firm with strong individual compatibilities will make us stronger in the marketplace. Bruno, will now review our Q1 financial results in more details. Bruno?
Bruno Roy: Thanks Alex, and good afternoon, everyone. I’m pleased to share results for the first quarter of 2017. For this first quarter revenues and net revenues were $1.6 billion and $1.3 billion, an increase of 10.2% and 9.8% respectively compared to 2016. We posted a global organic growth in net revenues of 10.1%. However, as Alex mentioned and as specified in our 2017 outlook, Q1 and more billable days the same quarter last year. If we adjusted difference consolidated organic growth in net revenues would have been approximately 4%. This beneficial billable date of financial in Q1 2017, will have a similar and opposite impact when comparing Q4 2017 to Q4 2016. So do keep that in mind as you update your models. Adjusted EBITDA for that period stood at – one was $4.5 million, up $23 million or 25.1% also slightly as of our expectations. Adjusted EBITDA margin reach 9%, up from 7.9% last year. Our effective tax rate was 25.7% in line with expectations. Adjusted net earnings were $49.8 million or $0.49 per share, up 50.5% and 48.5% respectively compared to 2016. This increase is explained by four drivers. First, additional revenues from our billable day differential. Second, our solid organic growth in Q1. Third, our improved adjusted EBITDA margin. And lastly, the impact of acquisitions made in 2017 essentially Mouchel. Our backlog reached its highest level ever. It stood at just under $6 billion, representing approximately 10.6 months of revenue, up $316.5 million or 5.6% compared to the previous quarter. On a constant currency basis, organic backlog growth was approximately 7% year-over-year. At backlog levels tend to fluctuate from quarter-to-quarter, we expect this metric to normalize at the year end. We anticipate calendar year backlog organic growth to range between 1% and 4% in line with our expected 2017 organic growth rate in net revenues. Turning to cash, we generated funds from operations of $97.8 million for the quarter. We also ended the quarter with DSO of 78 days, comparable to both the previous quarter and to Q1 2016. Finally, our net debt-to-EBITDA ratio decreased slightly from Q4 2016 coming in at 1.6 times. With access to over $700 million in cash and available credit facilities, we have the flexibility to pursue our growth strategy and quickly act on opportunities that they raise. We also declared a dividend of $37.50 per share to shareholders on record as at the March 31, 2017, which was stayed on April 2017. With 54% dividend reinvestment plan participation, the net cash outflow was $17.5 million. Alex, back to you.
Alexandre L’Heureux: Thank you, Bruno. Before we open the lines for question, let me conclude by saying that we have a strong and solid balance sheet, favorable market positioning. And a very strong brand, which gives us a confidence in our ability to pursue our growth strategy. In conclusion our Q1 results represents a solid start to the year and puts us on the right path to pursue in achieve our objectives. As such we are retiring our 2017 outlook provided on February 28, 2017 as part of the 2016 as part of the 2016 MD&A. Now let’s open the line for questions.
Operator: [Operator Instructions] Your first question is from Mona Nazir with Laurentian Bank. Please go ahead.
Mona Nazir: Good afternoon and thank you for taking my questions.
Alexandre L’Heureux: Hi, Mona.
Mona Nazir: Hi, so first, I just wanted to touch on the rebranding strategy, is this something drastically new that you're doing or is it really taking something that already existed and refining it and it's the end goal to attract new talent to appear more unified to customers, clients or to unify employee internally given you're now so diverse and global and just wondering if the rebranding is complete or if there is more to do?
Alexandre L’Heureux: Lots of questions on this Mona. You should listen to the webcast this morning, I think I touch on most of those points, but now, look Mona this is an exciting time for WSP. Clearly we don't want to forget where we came from or proud of our past. We should celebrate who we are and we should stay true to our fabric and our D&A. We're entrepreneur and we believe in that and we believe in our culture and obviously this is true. But now it’s a new time I mean it's time for us to unify our 26,000 employees beyond one solid brand with one vision and one story. And as I said in my address, I believe that combining all our strengths under one name and one brand with all of our 26,000 people individual capabilities, I believe we’ll have a unique position in the marketplace.
Mona Nazir: And then secondly, you’ve spoken in the past about taking a stake in construction projects similar to some of your peers and it maybe early days to kind of speak about details, but wondering if you are comfortable with what sort of capital you'd be willing to allocate towards this and if you think that it's a necessary move for WSP at the time?
Alexandre L’Heureux: Okay. Well let me nuance a little what you just said, what we had said in our – when we rolled out our 2015, 2018 strategy. And what we said is we believe in our pure-play consulting model and we're actually not looking to necessarily change that. The point is that – and what we had said is over the next coming years, we would explore whether becoming a financial sponsor. And what I mean by that and I want to be crystal clear on this is whether becoming a financial sponsor or taking an equity stake in our project would make sense for WSP. And what I mean by that is not taking any construction risk whatsoever or new operation and maintenance role into the development of this project. So all that we said is perhaps it would be wise to explore whether this would make sense. But again, I want to be crystal clear that I'm not talking about taking any construction risk for operating and maintenance role in any project. And now the second piece of your question was – part of your question is that the necessity to [indiscernible] to be successful and the answer is no. I don't think that this is a necessity, but having said all that to explore options it's always a good thing. But again for the evidence of doubt I'm not talking about taking construction risk here.
Mona Nazir: Okay. Perfect. And just lastly quickly for me on the APAC segment. There is a strong increase in the margin year-over-year and I'm just wondering you always look at results on a 12-month basis and not quarter-to-quarter. Is that a sustainable margin, I know last year was kind of abnormally low. So it's kind of a 9% a good run rate or was there one-time in the quarter?
Bruno Roy: Thanks Mona for the question. For Asia Pacific and specifically here we've had a very impressive quarter from our friends in Australia. That had a very strong start to the year. This is on the back of a very solid market last year as well and this has carried on into the year. So we don't expect that to fall off between 90 in the year. The markets are robust and our transportation fee in particular has done very well.
Alexandre L’Heureux: And what I would add also Mona is that as you recall when we acquired Parsons Brinckerhoff, the thesis around the acquisition as we were buying Australia in the thrust it’s an operation that we felt we had a very strong operation with the strong technical expertise which was operating in a very tough environment. And obviously, I think we've worked extremely hard internally to improve the operation in Australia, but also I think it's a fair statement to say that the market has been cooperating as well over the last two, three years.
Mona Nazir: Okay. That’s very helpful. Thank you.
Alexandre L’Heureux: Thank you.
Operator: Your next question is from Jacob Bout with CIBC. Please go ahead.
Jacob Bout: Hi, good afternoon.
Alexandre L’Heureux: Hey, Jacob.
Bruno Roy: Hi, Jacob.
Jacob Bout: So I thought it was interesting you talking about the rebranding and tying it into revenue synergies. I'm assuming we've talked historically about revenue synergy opportunity with PB and WSP and you talked a little bit about how that is progressing and I think we used to talk about $100 million of revenue synergies target?
Alexandre L’Heureux: Is that a question Jacob, I'm sorry.
Jacob Bout: Yes. Sir that's a question. It's more how are we progressing, how are you as far as reaching that total?
Bruno Roy: Yes. I gave two examples again today. And during our AGM today, I gave additional examples of our strategy. I think you're absolutely right, I do feel that – and I mentioned that in prior calls. We acquired PB late in 2014. We took 2015 to get to know each other to integrate the businesses and 2016 is really when we started to work together as one team. And it's not by coincidence that we announced the unification of all our names within the company under the WSP umbrella because we feel now that we are working and collaborating better than ever. And so clearly I'm not going to provide numbers today, but I'm very confident that $100 million has been exceeded since the acquisition.
Jacob Bout: And maybe my next question just on your guidance which is unchanged, I mean very strong quarter you have to adjusting for that one-week incremental billable weeks. How should we be thinking about that the rest of the year, I mean it was particularly strong organic growth out of APAC and Europe, Middle East and Africa. Should we be thinking about the higher end of revenue guidance or something else that we should be thinking about?
Bruno Roy: Yes. My answer at this point in time is this leadership team is a conservative team and we've always been where – let's not get ahead of ourselves, we're just three months in the year, but at the same time I agree with you and I mentioned it let say it’s start quarter. We are extremely pleased with the start of the year and I'd say and I mentioned it that during the last analyst call that going into 2017 I was feeling that the Company was on better ground the beginning of 2016 and I still believe this to be the case at this point.
Jacob Bout: I'll leave it there. Thank you very much.
Bruno Roy: Okay. Thank you.
Operator: Your next question is from Yuri Lynk with Canaccord Genuity. Please go ahead.
Yuri Lynk: Hi, good afternoon.
Alexandre L’Heureux: Hello.
Yuri Lynk: Alex, can you just talk about what you're seeing in the U.S., strong numbers there. Reading the press it looks like there's not much has been done in terms of the new infrastructure spending plans, but clearly something is driving solid results there. So if you can just talk about what the drivers are and how the competition of the competitive environment has changed at all over the last year or so?
Alexandre L’Heureux: Well, you're right concur with your statement that the stimulus is – but first of all nothing has been announced to my knowledge that the Congress does not pass any bills. So we're far from seeing any – in my mind any impact from this stimulus having said all that and what's closer to what we do and what we monitor is the ballot initiatives that were approved by voters and voted for during the last election in November. Just in California alone was north of $120 billion over the next 10 years if I'm not mistaken, so it's significant and we are seeing that in many states. And also what we’ve seen over the last few years is that state the governments are less relying on the federal government less and less. They're taking it on their own hands to resolve the infrastructure and gap that is existing in the country and we are seeing the states – the various states they can more active role in the infrastructure space. So that bodes well for us and also you remember that a year or two ago, the fast track was unable again. I was fined by Congress, so all these news in my mind and all these actions are creating of some positive momentum in the U.S. at this point.
Yuri Lynk: And is that attracting new competitors or it's kind of the same usual suspects?
Alexandre L’Heureux: No, it’s the same usual suspects. It’s a same global players, no changes.
Yuri Lynk: In Canada, I think at the Analyst Day you had kind of characterized a year of flat organic growth and I think some backlog build as there was a lot of projects out forbid. Is this still shaping up as kind of a year where you can add two to backlog in Canada or are you seeing some slippage on the awards outside of the Edmonton one?
Alexandre L’Heureux: Hi, Yuri, this is our aim. That's what we're aiming and the plan hasn't changed. So by all standards Canada performance plan we’re please with the performance, what we had mentioned during the Investor Day is flat to slightly negative and I still stand by this at this point in time there's nothing that leads me to believe at this point that we should change our view on Canada. And you also right that it's a busy year for our team. We are bidding on a number of jobs and if you win there, our share of work I mean I'm cautiously optimistic about Canada in the coming years.
Yuri Lynk: Okay. And I'll just try to sneak a last one in here and it's a follow on to Jacob's question on the organic growth for this year. In order to I think you had previously said 1% to 4% consolidated organic growth for 2017, but regardless of what it is given the strong start to the year in the reversal of the one week of billable days in the fourth quarter. Could we see fourth quarter organic growth kind of around zero or even negative?
Alexandre L’Heureux: That's the idea and I'm glad that on the call today Yuri, you bringing this up because I want to remind everyone on the line that we had one additional week this quarter and we have one – less one in the fourth quarter. So to answer your question, yes we hopefully we estimate that that should be around flattish and the fourth quarter.
Yuri Lynk: Okay, very good. I’ll turn it over. Thank you.
Alexandre L’Heureux: Thank you.
Operator: Your next question is from Benoit Poirier with Desjardins Securities. Please go ahead.
Benoit Poirier: Hey, good afternoon Alex. Good afternoon Bruno. Yes, you mentioned some good color about APAC, but specifically about China in light of the ongoing uncertainty around created availability, I was wondering if you see any impact on the Zion construction market specifically to China?
Alexandre L’Heureux: We haven't felt anything sharp on that front. They had been the slowdown obviously in China real estate for the past couple years I think as I mentioned in previous calls that jobs are smaller and there's less of them. So that's why our Asia business had been slowly, but surely diversifying towards transport and infrastructure and that's why for us the High Speed Rail 2 project in Singapore was third quarter, but nothing sharps over the past few weeks when I did to [indiscernible].
Benoit Poirier: Okay, perfect. And just looking at the M&A update, I was wondering given the movement in the FX you are tweaking kind of M&A strategy, does it make certain region a little bit less attractive given what's happening in terms of FX movement and maybe if you could provide us some color about the region that you are looking at the right now?
Alexandre L’Heureux: And I mean I think driving our strategy around the currency and FX movement to me. It's probably entering a venturing into dangerous territory. My view and our view collectively that the leadership team is we need to look for a complementary farms that strategically would add value to our existing platform and if we do and if not all the criteria on that we will be opportunistic around that. So we are obviously aware of the volatility in the currency market and FX. We are also aware that there are some country less favorable than perhaps they were 12 months ago and that's part of the game and it’s a peaks and valleys game and that's fine. But I don't wake up in the morning thinking about the FX. Having said all that, there are a number of places we would like to grow and that hasn't changed. And the goal have not change, I mean Australia region is certainly a place where we would like to grow and we've been quite vocal about this over the last few years. U.S. remain a country of interest to WSP, the Nordics we're still if we can grow we would like to grow. We recently made an acquisition in the UK just in the late in the fall. So it's a great place to do business and Central Europe we are clearly subscale. So I feel that when the time is right that they'll be opportunities for WSP to action.
Benoit Poirier: Okay perfect. Good great color. And last one for me just in terms of utilization rate, you pointed out there's a good improvement in many regions so good performance. I was wondering how should we expect your cost structure to evolve in light of those stronger utilization rate. Is there still a lot of operating leverage or basically you need to hire more people which could – and feed some margin improvement?
Alexandre L’Heureux: Well, utilization rate is very of course region by region. So some regions are type of another obviously, but all together also get there we still have plenty of room to go out and improve an utilization. And will keep having and some geographies as well. I mean the Nordic is a good example and Australia is a good example, where not only the ability is good, but we are also adding...
Benoit Poirier: Okay. Thank you very much for the time.
Operator: You next question is from Michael Tupholme with TD Securities. Please go ahead.
Michael Tupholme: Thanks. Good afternoon.
Bruno Roy: Hi, Michael.
Michael Tupholme: Alex you mentioned that I guess sort of APAC having outperformed your expectations I mean that was sort of it seems like the one main area where that occurred although possibly you could – throughout this as well, but have you revised your expectation of what that region can do in terms of organic growth for the year. I think previously you were guiding to mid single-digit gains, but I didn't see any sort of updated guidance on that in the MD&A.
Alexandre L’Heureux: When we're providing guidance Michael we are looking at the company holistically. We're looking at the company as a whole. Because we are reporting the numbers on the company as a whole and so at this point in time looking at our Q1 results and looking at our business in Australia and New Zealand and looking at the outlook, we didn't feel appropriate at this point in time to change or reassess or unmanned or forecast regarding Australia.
Michael Tupholme: Okay. And you just mentioned I guess in response to one of the earlier questions, but the UK being an area a good place to do business. I guess evidence this quarter a very good strength in the UK infrastructure market with the aegis two work, but can you talk a little about what you're seeing in the property and buildings market in the UK?
Alexandre L’Heureux: That's a good question and you recall that I always take a long-term approach to the country where we operate in the country where we wish to operate and despite the macro events that took place last year. I've always been quite a fan of our UK operation and a great leadership team, they're great professionals and that the [breads] if I can sell well traveled and they know the world. So I think it's a great operation. So yes, we have seen a bit of a slowdown in the private sector late last year on the back of the Brexit referendum on the commercial side, but having said all that although we expect that it will remain quite subdued a little bit for the time being. We have seen over the last month or two an uptick and optimism on the private sector. So I'm not suggesting that we'll go back to the level of activities that we've seen in 2015 and early 2016 just yet. What I'm saying is that despite a more cooled off sector at this point in time the market is still relatively okay, good.
Michael Tupholme: Okay. That's helpful. Thank you. And then lastly for me, I know it's probably still early, but any interesting initiatives coming forth so far with respect to the CEO Global Initiative fund?
Alexandre L’Heureux: Yes. We are making progress on a number of initiatives at this point in time. And I don't recall Bruno if I had mentioned the various initiatives that were included in the CEO fund, but I don't recall making that statements, but we are making progress on at least one or two initiatives. One would be more of an end market sector where we wish to grow globally in more than three countries. And other one which is related to our people pillar really to improve the training of our project manager globally and we are making some strides. And when I feel we're more advanced on this because it's relatively new, I'll talk about it in more details.
Michael Tupholme: Okay. That’s helpful. All right. Thank you.
Operator: Your next question is from Sara O'Brien with RBC. Please go ahead.
Sara O'Brien: Hi. I wondered if you could comment on the organic growth in terms of whether you view it as local market growth or I guess WSP going after a larger share of project through cross selling abilities at this point.
Alexandre L’Heureux: Sara I try – and that’s why I’m trying to portray in my statement today. I couldn’t go on and go through the inventory of when that we secured in the first quarter, but having said all that we are feeling that globally the various teams are working together to secure work that on a standalone basis, the local countries could not secure it. And the primary example of this would be the KL, Singapore High-Speed Rail. We have a great leadership team in Asia, but with the assistance of the California High-Speed Rail team and our Middle East team, I mean we were able to put together a compelling value proposition to decline and we were able to secure the win. And I tried today to give few examples and this morning I gave few others. We are seeing right now the countries collaborating together and it’s really assisting us on securing more work.
Sara O'Brien: So I guess that must tie into utilization rate as well as using those employees in regions that are maybe less busy on larger projects, is that fair to say?
Alexandre L’Heureux: Yes. I wouldn't go as far saying that, I think yes. I mean that’s one explanation, but it’s not the main reason. I would say and we talked about cost containment today and we talked about the number of reasons why our margins are up. We are not complacent I mean to reach 11% by the end of next year. You've got to work hard at it. So we're trying to manage our utilization as best as we can and try to manage our costs as best as we can as well.
Sara O'Brien: And maybe could you comment a little on your internal initiatives in terms of improving gross margin? I think there was some talk about it maybe being a little bit more disciplined on pricing of the types of projects you're going after. Is there been any real change there?
Alexandre L’Heureux: That's a continuous improvements and as we now geography in Canada in particular a lot of the work is going into securing better work and being tougher on project selection. And it's true here and it’s true in all our geographies and that's a constant struggle or constant aim let’s put it that way.
Sara O'Brien: Okay. And just a question, I noticed in the U.S. and it's nothing new, but the sub-consulting fees are quite high about 34% sort of the highest head of the regions. Is there anything that you feel like you would not have to sub out, is that an opportunity for growth there in terms of keeping margin in house?
Alexandre L’Heureux: It's always a name. Yes, you're absolutely right Sara and frankly we're looking at this in the U.S. but we're also looking at this in all the countries anything that we could given house rather than sub out this something that we need to look closely and actually that's an under angle to our revenue synergies strategy is what can we do together to reduce the amount of subbing that we're having in the various countries.
Bruno Roy: Yes, Sara in the U.S. just couple examples one of them in transport and government sponsored work in transport. More often than he will have when you win a mandate to sub workout to minority-owned businesses and that's literally by a bind, we cannot get away from that. So these things are not movable. Another example for us in some business lines for instance the work we do in the game caves in the U.S. where we don’t own dealers. So we have to have subs will go out and do the drilling for a cave that will go out and design and supervise. So again these are two areas where we actually need to have subs and we have to do those numbers. It’s helpful.
Sara O'Brien: Okay, thanks. Yes, that’s helpful, thank you.
Operator: Your next question is from Frederic Bastien with Raymond James. Please go ahead.
Frederic Bastien: Hello, again.
Alexandre L’Heureux: Hi, Frederic.
Frederic Bastien: Your margins in Canada were up very modestly a year-over-year, but it is actually the first increase, I've seen in years. Just wondering if we have reached an inflection point here?
Alexandre L’Heureux: I’ll repeat what I said like two to three questions ago Frederic. It's our aim like clearly that's the aim and we've been consistent and the messaging around Canada, our seas our plan has been consistent for the last 12 months as we want to prepare Canada for future growth. So right now what we want is to stabilize the business, solidified a business, bill solid foundation for when we – Canada is growing again. And on that front I mean certainly our aim in this year is to provide a Canadian operation with improved margin profile in 2017.
Frederic Bastien: Okay. Just wanted to a touch a little bit on M&A, you generated an incremental a $60 million to $65 million from acquisition in the EMEA region, which is almost double what I had been anticipating now, much of that come from Mouchel or did you see also some contribution from the smaller tuck-ins you completed?
Alexandre L’Heureux: Yes, it’s mainly Mouchel, obviously it’s the largest acquisition that we completed late last year. But also there's been a few other smaller size acquisition in Nordics that we don't always a press release and all the time, but we try to add to our MD&A when we report quarterly.
Frederic Bastien: Okay. So I know you commented also on Mouchel integration and such but as the business also been growing nicely organically, I’m just trying to reconcile sort of the difference from what I had forecasted with what you actually delivered?
Alexandre L’Heureux: The Mouchel story so far has been a very good one that we're actually ahead of our own expectations on how Mouchel is doing and how the integration is going. We've won significant mandates with highways England on that probably we would not have been able to win in the past and this was due to a combination of our efforts of the legacy to be with legacy TD business, and Mouchel businesses, all working together. And then there is local team, there is an absolutely delighted with the results so far. But yes Mouchel is the head of our expectations.
Frederic Bastien: Awesome thank you.
Operator: Your next question is from [indiscernible]. Please go ahead.
Unidentified Analyst: Hi, thanks for taking my question. I have a question which sector your current backlogs are currently exposed to? Do you have any energy and like oil and gas exposure? Thank you?
Alexandre L’Heureux: Yes, we do have exposure to the oil and gas sector, mainly in Canada. I would say almost solely in Canada and they represent a very small portion of our overall global portfolio of revenue.
Operator: [Operator Instructions] Your next question is from Maxim Sytchev with National Bank Financial. Please go ahead.
Maxim Sytchev: Hi. Good afternoon, gentlemen.
Alexandre L’Heureux: Hey, Max.
Bruno Roy: Hey, Max.
Maxim Sytchev: Quick question for you in terms of Nordics, are you guys seeing any signs of overheating in that particular geography given the negative interest rates or you feel that there is enough visibility that you think that committing incremental resources to that geography still makes sense? Thanks.
Alexandre L’Heureux: The answer Max is no, not at this time. But having said all that that's the question I ask at every budgetary process in the fall, I mean every year when we go to every single country I mean we ask the question, but you should know that Stockholm is on a relative scale basis, okay and not in absolute terms, but in a relative scale basis is the fastest growing city in Europe if not one of the fastest growing city in Europe. So it's been a very dynamic environment for the last decade. In Finland last year, we grow double-digit in the region, so it was the first time we were growing at a double-digit rate in years. And also we have been growing our presence in Norway on the back of our exit on our stake, 20% stake in multi consult, we have been buying smaller size firm. Yes, we have been building our position in Oslo over the last two years and we are seeing good growth there as well.
Maxim Sytchev: Okay. That's very helpful. Thanks for that. And then I wanted to ask a question on M&A maybe in another way because it feels that like looking at public companies off, your size smaller and larger. Obviously, the companies are looking for in certain instances platform acquisitions and it feels like you could have situations where a number of sort of usual suspects looking at the same assets. And I'm just wondering right now in terms of expectations on the multiple that you're ready to pay, what makes sense. Are you seeing a bit of inflation on that front? Any commentary that would be helpful.
Alexandre L’Heureux: All I can say is that with the exception of suite a year ago, we have not been participating in any publicly listed actions over the last year, so I couldn’t comment on the price that are being asked. All I can tell you is that I'm seeing the same information that you have seen and we typically do not comment on transactions that were not pertains to WSP. But it's fair to say that some company have decided to pay us cheaper prices than what we may have seen in the past. But I wouldn't be ready to make this a rule or a general rule that now our multiples have gone up.
Maxim Sytchev: Okay. That's very good. Thanks. And then I just have one follow-up question relating to Australia, you guys correct me if I am wrong. I think you changed management there maybe 18 months ago and I mean obviously you've seen great results improved from our geography. If I am just wondering what else was done there or it's a combination of prophecies sort of improvements, but obviously the market coming back. I'm just trying to see what's driving in Australia specifically.
Bruno Roy: So Australia both – again both market and again as Alex have mentioned earlier, go back to the OPD, this was a business that was not in great shape. And it's a business that over time was right-sized amount other things and now the market is picking up. We have again very robust business in transportation. The property business is doing nicely this first quarter. And again, if we see opportunities to go out and further add sale to Australia business, we will do it very quickly. It's a market we really like.
Maxim Sytchev: Okay. That's it for me. Thank you very much.
Bruno Roy: Thanks Max.
Alexandre L’Heureux: Thank you. End of Q&A
Operator: There are no further questions at this time. I turn the call back over to the presenters.
Alexandre L’Heureux: Okay. Well, thank you for attending the call. And again, we will speak soon. Thank you very much.